Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2020 Earnings Conference Call. 
 [Operator Instructions] 
 I would now like to turn the call over to Mr. Bill Ruisinger. Please go ahead. 
Bill Ruisinger: Thank you, Amy. Welcome to our third quarter 2020 earnings call. Thanks for joining us. Before we get started, though, I'd like to remind all of you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-Q and other documents filed from time to time with the SEC. 
 Additionally, we note that the purpose of this call is to discuss the results of operations for the third fiscal quarter ended April 30, 2020, as required by our senior secured bonds due 2025. Therefore, we will not be discussing or responding to questions regarding our leverage situation or debt maturities. As detailed in our earnings release and Form 10-Q that were filed on June 4, third quarter consolidated adjusted EBITDA was $92.3 million, compared to last year's $88.6 million. 
 Trailing 12 months adjusted EBITDA now stands at $242.7 million, up from $239 million reported last quarter. 
 For the quarter, total gallon sales of 246.8 million were down from the 264.1 million gallons in the prior year due to 10% warmer temperatures than prior year and the widespread slowdown of the economy due to COVID-19, partially offset, however, by customer growth. Margins were higher than prior year by $0.08 per gallon due to wholesale propane prices that were approximately 50% lower than the prior year. Total gross profit for third quarter 2020 was $233.1 million compared to $226.9 million for the prior year, reflecting the increase in gross margin per gallon partially offset by the decline in volumes, as previously discussed. 
 Operating expenses for the third quarter increased to $121.6 million from $121 million in the prior year. This slight increase was primarily due to an increase in personnel costs. 
 For third quarter 2020, G&A expense was $12.6 million compared to $11.5 million in the prior year. The increase is primarily associated with legal fees. Interest expense for the quarter was $45.7 million compared to $44.2 million in the prior year. The increase is due primarily to higher rates associated with our $700 million senior secured bond issuance completed in April of 2020, which replaced our senior secured credit facility. 
 At April 30, 2020, we held $177.5 million of unrestricted cash and had $91 million of available borrowing capacity under our accounts receivable securitization facility, which provides total liquidity at April 30 of $268.5 million. Lastly, our non-acquisition capital expenditures were $22.7 million for the third quarter compared to $35.1 million in the prior year. 
 This decrease was primarily attributed to a decision in the prior year to utilize excess cash to purchase new propane delivery vehicles that would historically have been leased. 
 As mentioned in the announcement of this call, questions may be submitted via our Investor Relation's e-mail box at investorrelations@ferrellgas.com. 
 I will now turn the call back to Amy, if there are any questions in the queue. 
Operator: [Operator Instructions]
 At this time, there are no questions in queue. I turn the call back to the presenters. 
Bill Ruisinger: Okay. Thank you, Amy. That concludes our third quarter 2020 earnings call. I appreciate all your time. Thank you. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.